Operator: Hello and welcome to the Textainer Group Holdings Limited Third Quarter 2010 Earnings Conference Call. There will be an opportunity for you to ask questions at the end of today’s presentation. At this time, all participants are in a listen-only mode. (Operator instructions) For your information, this conference is being recorded. I would now like to turn the conference over to Mr. Phil Brewer, Executive Vice President.
Philip Brewer: Thank you and welcome to Textainer’s third quarter 2010 earnings conference call. Joining me on this morning’s call are John Maccarone, President and Chief Executive Officer; Ernie Furtado, Senior Vice President and Chief Financial Officer; and Robert Pedersen, Executive Vice President. Before I turn the call over to John, I would like to point out that this conference call contains forward-looking statements within the meaning of U.S. Securities laws. These statements involve risks and uncertainties, are only predictions, and may differ materially from actual future events or results. It is possible that the company’s future financial performance may differ from expectations due to a variety of factors. Any forward-looking statements made during this call are based on certain current assumptions and analysis made by the company in light of its experience and current perceptions of historical trends, conditions, expected future developments, and other factors it currently believes are appropriate. Any such statements are not a guarantee of future performance and actual results or developments may differ from those projected. Finally, the company’s views, estimates, plans and outlook as described within this call may change subsequent to this discussion. The company is under no obligation to modify or update any or all of the statements that are made herein despite any subsequent changes that company may make in its views, estimates, plans, or outlook for the future. For a discussion of such risks and uncertainties, see the risk factors included in the company’s Annual Report on Form 20-F for the year ended December 31, 2009, filed with the Securities and Exchange Commission on March 17, 2009. I would also like to point out that during this call we will discuss non-GAAP financial measures. These non-GAAP measures are not prepared in accordance with Generally Accepted Accounting Principles. A reconciliation of the non-GAAP financial measures to the most directly comparable GAAP measures will be provided either on this conference call or can be found in the company’s November 4, 2010 press release. I would now like to turn the call over to John.
John Maccarone: I’d like to start with slide three and welcome everyone to our third quarter 2010 earnings conference call. I’ll begin today’s call by reviewing Textainer’s third quarter and year-to-date highlights, as well as the current market overview and strategic focus. I’ll then turn the call over to Ernie to discuss our financials and quarterly dividend, and Phil will then give a summary of the container sale market before we open it up to questions. Turning to slide four, based on the positive fundamentals in the container leasing industry, Textainer posted solid results in the third quarter of 2010. For the three months ended September 30, 2010, we generated net income of $30.7 million or $0.62 per diluted common share for the quarter. Excluding unrealized losses on interest rate swaps, net income was $33.3 million or $0.67 per diluted common share for the quarter. Based on our results, Textainer’s board declared a third quarter 2010 dividend of $0.27 per share, which is an increase of 8% from our previous quarterly payout. Since our IPO on October 2007, we’ve increased the quarterly dividend to total of six times, including in each of the past three quarters and declared cumulative total dividends of $3 a share. The considerable success that we achieved during the third quarter and first nine months of 2010 is directly related to two trends. First, the significant increase in our fleet utilization, which averaged 98% in Q3. This is an improvement of 12.6 percentage points compared to the average fleet utilization for the third quarter of 2009. Second, the acquisition of over 212,000 TEU of new containers for about $507 million of CapEx to be delivered through December of this year. Importantly, 90% of the new containers are owned by Textainer, and it’s much more profitable for us owning than managing. Next on slide five, some comments about the market outlook. As we have discussed in detail on our past few earnings calls, current industry dynamics have created a worldwide shortage of containers this year. As a result, a few well-capitalized container lessors such as Textainer have been able to gain market share, as container shipping continues to improve. For 2010, cargo volumes are now expected to grow between 10 and 11% compared to 2009 and this is considerably higher than initial projections of 5.5% for the year. I’ve recently completed over 40 customer meetings in Europe and Asia, with the opportunity to meet face-to-face with 19 of our top 25 customers, as well as many medium and smaller sized container shipping lines. I was able to get a current view of their outlook for 2011, as well as their projected new container requirements. Almost every customer I met with is optimistic about next year, forecasting growth of 6% to 8% in the Asia-Europe and Trans-Pacific trades, and 10% in the inter-Asia trade routes. As demand for new containers is expected to remain strong, everyone I met with plans to lease a substantial portion of their new requirements. I also met with manufacturers, container manufacturers, freight forwarders and equity analysts in Asia. The latest forecast from Nomura International is that 3.2 million TEU will be produced in 2011. While manufacturers have ramped up to this level of output, we continue to expect strong demand for containers throughout next year. The new container prices are currently in the $2,500 to $2,600 and could reach the $2,700 plus level by the third quarter. Moving to slide six, we provide an overview of our strategic focus. As I mentioned earlier on the call, utilization averaged 98% during the third quarter of 2010, a notable increase compared to 85% in the third quarter of 2009. As of October 29, our fleet utilization was approximately 98.5%. High utilization not only increases our contracted revenue stream, but reduces direct costs, especially storage. Throughout the year, we have benefited from our high utilization and we expect this trend to continue for the rest of this year and 2011. While we maintained our focus on increasing our contracted revenue streams, we utilized our strong balance sheet to purchase over 212,000 TEU of new containers year-to-date. This represents about 507 million in capital expenditures, which is the largest amount of CapEx used for the purchase of new containers in a single year of the company’s 31-year history. Through the end of October, more than 180,000 of this new production had been committed to long-term leases. Going forward, we aim to maintain our opportunistic approach in purchasing new containers, and we’ll be presenting an aggressive 2011 CapEx budget to our board within two weeks. With low leverage and 500 million in available liquidity, we remain well positioned to continue to execute our growth strategy and drive future performance. Now, I’ll turn it over to Ernie.
Ernest Furtado: Thank you. Turning to slide seven, I’d like to take this opportunity to review our financial performance for the third quarter and nine months ended September 30, 2010. Total revenue for the third quarter of 2010 was $75.3 million, an increase of 34% from the $56.1 million in the prior-year period. For the nine months ended September 30, 2010, total revenue was $219 million compared to $170.1 million for the prior year comparable period, an increase of 29%. As John mentioned earlier, net income, excluding unrealized losses on interest rate swaps, net was $33.3 million for the third quarter, which was an increase of $19.2 million or 137%, compared to $14 million for the prior year quarter. Net income excluding unrealized losses on interest rate swaps net for the nine-month ended September 30, 2010 was $87.8 million, an increase of $28.3 million or 48% compared to $59.4 million for the prior year comparable period. Income from operations for the third quarter was $45.2 million, which is a 101% increase over the prior year quarter. Income from operations for the nine months year-to-date was $120.8 million, which is a 62% increase over the prior year period. One of the most important factors contributing to the recent success of Textainer has been the significant increase in utilization. Utilization for the third quarter of 2010 averaged 98% compared to 85.4% in the third quarter of 2009. Utilization for the nine months year-to-date has averaged 94.5%, compared to 87.5% for the nine months ended September 30, 2009. Increase in utilization along with an increase in the size of the owned container fleet contributed to an increase in lease rental income of 35% in the third quarter compared to the prior year quarter and 21% for the nine months versus the 2009 comparable period. One of our goals has been to increase the size of our owned container fleet, which we have been able to accomplish through the purchase of new containers. The owned container fleet was 1.088 million TEU as of September 30, 2010, which represents a 10% increase compared to September 30, 2009. The portion of the total fleet that is owned by Textainer as of September 30, 2010 was 48% compared to 43% as of September 30, 2009. This percentage will continue to increase going forward, as we take delivery of containers in the fourth quarter that’s already been ordered. Management fees increased 15% in the third quarter compared to the prior year period, due to improved fleet performance. Management fees for the nine months ended September 30, 2010 increased by 13% from the previous year, primarily due to a full nine-month of management fees for the Amficon and Capital Intermodal fleets in 2010 and improved fleet performance. Despite the increase in the size of the owned container fleet, direct container expenses declined by 60% for the third quarter compared to the prior year quarter. This is primarily a result of decreased storage expense, as utilization has increased. Net gain on trading containers sold for the third quarter was comparable to the prior year quarter. Net gain on trading containers sold for the nine months year-to-date increased by $1.2 million or 166%, primarily due to the 75% increase in the number of units sold compared to the prior year period. Gains on sales of containers for the third quarter increased by $2 million or 87%, primarily due to an increase in the average proceeds per unit offset by a decrease in the number of containers sold compared to the prior year period. Gains on sale of containers for the nine months ended September 30, 2010 increased by $13.5 million or 181% due to an increase in the number of units sold and increase in the average proceeds per unit and a $7 million increase in the amount of gains on sales type leases compared to the prior year period. Depreciation expense increased for both the third quarter and the nine-month period in 2010 due to the increased fleet size. Bad debt expense decreased by $0.8 million in the third quarter compared to the prior year period and from an expense of $3.2 million in the nine-month ended September 30, 2009 to a recovery of $0.3 million in the nine-month ended September 30, 2010 due to collections on account that had previously been included in the allowance for doubtful accounts and our assessment that financial conditions of our lessees and their ability to make the required payments has improved. Income tax expense decreased by $1.2 million in the third quarter compared to the prior year period due to the re-measurement of unrecognized tax benefits. EBITDA for the third quarter of 2010 was $56.4 million, $22 million higher than the prior year quarter. EBITDA for the nine months ended September 30, 2010 was $153.7 million, $26.7 million higher than the prior year period, which included a $19.4 million gain on early extinguishment of debt. Moving to slide eight, you will see that we maintained a strong balance sheet during the third quarter of 2010. Of note, as of September 30, 2010, our cash position was $63 million; our total assets were $1.6 billion and leverage remained an attractive ratio of 1.1 to 1 Turning to slide nine, based on our strong financial results, significant contract coverage and industry outlook, Textainer’s dividend for the third quarter will increase by $0.02 per share or 8% to $0.27 per share, which will be our third consecutive quarterly increase. Since going public in October 2007, we’ve increased our quarterly payout a total of six times and declared a cumulative dividend of $3 per share. Our third quarter 2010 dividend represents 40% of net income, excluding unrealized losses on interest rate swaps, net for the three months ended September 30, 2010. Dividends have averaged 47% of net income, excluding unrealized gains or losses on interest rate swaps, net since the IPO, enabling the company to regain capital for growth. We have paid dividends for 21 consecutive years and it’s an important part of the total returns that Textainer provides to its shareholders. Historically, Textainer has paid about 50% of net income, excluding unrealized gains or losses on interest rate swaps net in dividends, but the board takes a fresh view every quarter and sets the dividend subject to cash needs for opportunities that may be available to us. We’re pleased with our third quarter results and I’ll turn it over to Phil.
Philip Brewer: Turning to slide 10, the very high demand for lease containers, as evidenced in our strong utilization has caused fewer containers to be put to disposal and shipping lines to continue to operate containers purchased by a purchase-leaseback transaction. As a result, we have very limited inventory of purchase-leaseback and trading containers. However we are increasing sales of in-fleet containers during the seasonal fourth quarter slowdown to take advantage of current prices. The net result of the total sales for the year, including in-fleet, trading, and purchase-leaseback containers are expected to be 75,000 to 80,000 units or 20 to 25% fewer containers that were sold during 2009. In 2011, we believe shipping lines will begin to return some of their oldest leased containers and offer for sales some of their oldest owned containers. Accordingly, we expected some more in-fleet containers next year than we did this year. We are also hopeful that we will find opportunities to buy trading containers unlike this year, when virtually nothing was available. After hitting a low during the summer of 2009, used container prices have increased by 50 to 80% depending on container price over the last 12 months, with half or more of that increase occurring in the last six months. Recently, we’ve started to see minor price declines in certain Asian locations, although in general, prices in Asia remain attractive relative to Europe and North America. We are selling fewer containers in Asia this year than last year, thus mitigating the effect this decline has on total proceeds. We believe that resell prices will decline slightly during the remainder of 2010 and early 2011. Prices after Chinese New Year are difficult to predict, that will depend significantly on supply with the biggest hurdle being how aggressive the shipping lines and to a lesser extent lessors, disposal of the older containers that should have been sold during 2010’s period of high utilization but were not sold. We anticipate a moderate increase in supply, which we expect to result in slight declines on prices. However, should supply increase more than we believe, the effect on price could be more than anticipated. That concludes our opening remarks. I would now like to open the call for questions.
Operator: Thank you. (Operator instructions) Our first question comes from the line Gregory Lewis from Credit Suisse.
Gregory Lewis - Credit Suisse: You mentioned the outlook for container re-sales through the end of this year. Just to sort of connect this to the full utilization that you’ve seen, it spans at about 98.5%. Clearly, we’re not seeing many boxes being dropped off thus far in the fourth quarter. As we look at your balance sheet and your boxes that are held for sale, when we think about the fourth quarter, should we think in terms of maybe another sequential flatness in container sales again, or do you think it could actually be a little bit lower?
Philip Brewer: You’re talking about the sales of in-fleet containers that we own?
Gregory Lewis - Credit Suisse: Yes.
Philip Brewer: Containers that we own will see a slight increase in sales over the fourth quarter as we -- as the containers are returned from the shipping lines and because trade levels prices are attractive. So, we’re making an effort to sell some of the containers that come off lease.
Gregory Lewis - Credit Suisse: Will those assets that are returned to you -- will that be a drag on utilization or no, because if they don’t get delivered, they’re going to immediately exit the fleet?
Philip Brewer: We still see very strong demand for used containers. So if they’re starting to put into sales status, I expect them to be sold pretty quickly, so the impact on utilization should not be significant.
Gregory Lewis - Credit Suisse: Just switching gears a little bit, of the boxes that have been ordered thus far this year; it looks like there is about 15% that are on contract. In terms of thinking about how these assets get contracted over the next, I don’t know, one to two quarters, should we expect the majority of those boxes to be leased out over the next two months or should we expect some of that to spill into the first quarter?
Ernest Furtado: Greg, that’s a fair assumption. Over a two, three months period I’m sure all these containers will be placed into good leases.
Gregory Lewis - Credit Suisse: It seems like you’ve mentioned that box prices actually might be on the rise in the next year. So, could we see a scenario where you will maybe ordering boxes for 2,500 to $2,600, and able to achieve lease rates out at box prices based on a $2,700 price range?
Ernest Furtado: That could happen, but obviously we hope we won’t have to sit on the container for that long time. We see that they’ve considerably increased container prices; it’s probably late second quarter, third quarter. We would be into another order cycle by then.
Gregory Lewis - Credit Suisse: Then my last question is just regarding CapEx. It sounds like you’re going to be going to your board, in the next couple of weeks to sort of discuss what CapEx is. Without getting into specific details, when we look at the liquidity that you have on the balance sheet, when we look at what was ordered in 2010, is it safe to say that 2011 will probably be on par, if not higher, in terms of CapEx?
John Maccarone: Yes, Greg, that’s a very safe statement.
Operator: Our next question comes from the line of Justin Yagerman with Deutsche Bank.
Justin Yagerman with Deutsche Bank: Good morning, everyone. This is Josh for Justin.
John Maccarone: Hi Justin.
Justin Yagerman with Deutsche Bank: Going back to utilization, after the Q2 call, guess you guys mentioned that you were at about 98.6 in the utilization and the average was 98 over the quarter and stood at 98. I’m sorry; it was 93 by the end of October. Does this mean that there was actually a dip in utilization that then came back up?
John Maccarone: No, it’s been pretty steady the last 10 weeks or so. For this report, for all of our reporting, we call utilization and CEU or cost equivalent units, but we also track it on a unit basis, just on a pure container basis, and it had a 10-week run at 99.0. On a unit basis, as of last Friday, it was still 98.8. Remarkably it’s holding very steady. Just to follow-up on one of the questions that Greg asked, the way we calculate utilization is that we exclude new containers at the factory that haven’t been put into service and containers that have been designated for disposal. Most of what we see coming back right now are very old containers that are going directly into PD or disposal status. The few turn-ins that we are getting have not had any effect on the utilization that we report.
Justin Yagerman with Deutsche Bank: Going into your channel checks on volumes going into Q4 in 2011. We’ve been hearing some more things about maybe a better than expected seasonally slow period. Are you guys expecting any significant decreases in utilization, going into maybe Q1 towards the back end of the seasonally slow period?
Philip Brewer: We don’t expect a significant drop in utilization, but we are seeing a slight increase in re-deliveries. Most of the re-deliveries we’re getting our containers that are older nature, so therefore with the strong resale market, most of those are actually being disposed right away. They don’t really have a negative influence on our utilization.
Justin Yagerman with Deutsche Bank: Just one final question, but more of a modeling or balance sheet question. I know that container contract payables increased to $140 million this quarter from $58 million in your current liabilities, just kind of wondering is this just a one-time timing issue or what is that?
Ernest Furtado: Yes, this is Ernie. Most of our container manufacturers provide payment terms of 45 to 60 days. When we take delivery of a container we haven’t paid for yet, we put the container on the balance sheet, but we’ll record that liability of the container contract payables. We’ll end up paying for that through a combination of cash and our existing debt facility.
Operator: Our next question comes from Michael Webber from Wells Fargo.
Michael Webber - Wells Fargo: Just wanted to kind of zero back in on utilization. It has already been touched on a couple of times, but I just want to make sure we’re thinking about it correctly. We’ve got some negative seasonality or potential negative seasonality that would start working its way through the freight complex, and you guys have seen utilization rates that are still hovering around 99%. How do you see that trending through say the first half of 2011. I mean obviously that’s probably above normalized peak levels? Do you think you can still hold them in 99% through the balance of 2011, or I mean what brings it down. I mean, how do you think about it over the long-term, because it’s certainly an anomaly from a historical context?
Ernest Furtado: We would think that utilization is probably going to continue to drop marginally through March, April next year. At which time, we should be back to get ready for the peak season, which traditionally has started earlier than it used to in the old days. Basically our high demand season starts already in May. We would start to see people lining up equipment in April already. So, we don’t really forecast a dramatic drop in utilization in the interim for the reasons that we explained earlier, but there is no doubt we are seeing more re-leverage than we did through three months ago, but the increase is pretty insignificant.
Michael Webber - Wells Fargo: You also mentioned container pricing essentially picking up about $2,700 in the fourth quarter. How are per diem rates acted throughout that period and are overall returns improving or per diem rate is moving in advance of that asset value, or they’ve been more static?
Ernest Furtado: I would say per diem rates peaked in September this year, and we have seen a drop in both pricing and per diem rates and quite frankly on our spreads as well on our October and November closures. That will probably take another two, three months after which time hopefully supply and demand will be back to close to the level we saw in the period May through August this year, that was definitely the peak of the peak.
Michael Webber - Wells Fargo: Can you put a number around those spreads, and where they were and kind of where they’ve gone to?
John Maccarone: We don’t (inaudible) the spreads.
Michael Webber - Wells Fargo: Finally you’ve been very active on the CapEx side and adding new boxes, and I know over the last couple of years you’ve also been pretty active in adding specialized boxes and reefers. Just wondering whether, is that still kind of a secondary focus and is there one specific area of interest, where you see maybe better supply demand dynamics, be it in some of the specialized boxes or on the reefer side, or what have you?
John Maccarone: We got into the reefer market three years ago, and we had a plan of a slow and steady penetration. We executed the plan. What we’ve set out to do and we’re now really ready to move our game up a notch. So starting with the 2011 budget that we’re going to be presenting to our board in about 10 days. We have allocated more CapEx for reefers than we’ve been spending for the last three years. That’s an area that we see more potential. There’s a lot of things going on in that refrigerated space, including just a growing market as more and more people in the world are able to afford fresh fruits and vegetables and meat and also the phasing out of the old reefer style vessel in favor of containers. There is a lot of strong growth dynamics in refrigerated containers, and we’re going to be a part of that, as it goes forward over the next few years.
Operator: Our next question comes from Sameer Gokhale with KBW.
Sameer Gokhale - KBW: Most of my questions have already been answered, but just a couple of ones on the quarter itself and the financials. Ernie, you mentioned the tax benefit during the quarter, there’s some adjustment, can you just go over that again on the dollar amount, and what you see is the outlook for the tax rate. What should we be modeling in going forward? Thanks.
Ernest Furtado: Yes, just re-measurement that we do periodically of certain tax positions we take. If you look at our long-term rate, which is in the mid-single digits, that’s a good number going forward.
Sameer Gokhale - KBW: In Q4 you kind of reversed back to that mid-single digit rate. Then on the interest expense, I may have missed it, it seemed like sequentially it was quite a bit higher, were there any one-time items there or any sort of fees associated with your expansion of the securitization facility? I just wasn’t clear why the interest expense seemed to go up so much.
Ernest Furtado: Yes, I should mention that is, you may remember when we increased the size of our -- and renewed our credit facility in the end of the second quarter the spread increased from LIBOR plus 125 to LIBOR plus 275. The increase just spread on that facility is the result in the higher interest expense.
Sameer Gokhale - KBW: Yes, for some reason, even when I try to take the incremental interest costs, it seemed like I couldn’t quite get to the $6 million number, but I’ll try to re-work that. There might be something we just missed in our calculation, that’s pretty helpful. The other question I had, and I don’t know to what extent you can answer this, but it’d be interesting to get your take on at this other company that went public quite recently, SeaCube has a high mix of reefers. You look at the price at which it went public, and you look at the comps for your company and for the others in the space. It did seem a little puzzling why Textainer or the other companies wouldn’t just buy-out the leases, given the price at which they seemed to have gone public. I was just curious, if you had any perspective on that that you’re willing to share today why this kind of played out as it did.
John Maccarone: Yes, the best thing for us to say, Sameer, is no comments.
Operator: Our next question comes from Brian Hogan with Piper Jaffray.
Brian Hogan - Piper Jaffray: Question on our lease rates and actually on terms as well, you said that the spreads have come in slightly, and lease rates per diem rates peaked in September. On the overhead, your debt facilities have increased pricing there. Some of those spreads come in because of that pricing or you’ve been able to pass that on?
Philip Brewer: We have prepared for that for a long time. We knew it’s coming, and we have priced that in to all of our niche quotes at a much earlier stage.
Brian Hogan - Piper Jaffray: You’d probably say much of the lease rates coming down would be a function of the box price, and maybe some competition, is that fair or is that -?
Philip Brewer: It’s fair to say, the combination of both, yes.
Brian Hogan - Piper Jaffray: How is the competitive environment? Is it just a few players due to larger players, or are the smaller players kind of still vacant?
Philip Brewer: I mean, certainly throughout the year the bigger players have been dominant. Now towards the end of the year you’re seeing more players starting to buy containers and with demand somewhat at lower levels. It obviously opens up the game field a little bit there. It’s not a decline. We’re incredibly concerned about to be honest, it’s the timing issue. We are pretty confident the demand will come back and we’ll be back to a positive cycle. Does that answer your question?
Brian Hogan - Piper Jaffray: Yes, it does. Then on lease terms, the other lessors have been able to push terms out, five, eight, 10 years. Are you pushing the terms out of the (inaudible) or are you sticking with your five year initial terms and -?
Philip Brewer: We’ve closed some deals that extended terms, but I would still say we’re predominantly finalizing five-year long-term leases.
Brian Hogan - Piper Jaffray: Then your views on the supply demand balance on the manufacturers. In your press release you said roughly 3 to 3.5 million containers produced next year, and trades look to grow 10%, and that 3 to 3.5 increase to about 7% fee growth. Do you still see the supply of containers being tight, or are they supply being back to normal lease and get what you need?
John Maccarone: Yes, Brian, that the supply would still be pretty tight. It won’t be as desperate as it was in the early month of this year, when the factories were ramping up. As Phil pointed out earlier, there is a lot of very, very old containers still floating around. We’ll see some of those containers coming back over the course of next year. Then the other point to be made is that this year, as you recall, our estimate is that 70% of all the new production was bought by leasing companies. That next year you’re going to see a similar pattern, maybe not 70%, but certainly a very high percentage. Then even within the leasing sector, there was only three companies that bought the lion’s share of the new production this year. Again, you’re likely to see somewhat of a concentration among the top players. If you add all that together, we’re quite optimistic that 2011 is going to be a really good year for us.
Brian Hogan - Piper Jaffray: Direct container expense down half quarter-over-quarter and obviously based on utilization being very high, but can it go any lower here that pretty much as good as they can get?
Philip Brewer: Yes, most of that decrease was due to decreased storage expense. Certainly, while the containers are on hire, we’re not entering storage, maintenance, and we haven’t had to do hardly any repositioning this year. Yes, it’s probably about as low as it can get, which is really just sort of direct replacing of utilization.
Brian Hogan - Piper Jaffray: Sure. The secondary market values, you briefly referenced these, are they holding up pretty well as about 1,200, for a TEU, is that fair or -?
Philip Brewer: Secondary prices don’t really reflect TEU ratio, nor for that matter CEU ratio, but the big picture answer to your question is, yes, prices in any historical basis are very attractive now.
Brian Hogan - Piper Jaffray: One last question, the trade routes, which ones are showing strength in these, one showing weakness, just what is your view on the global economy?
John Maccarone: The OECD is forecasting over 4% global GDP growth next year, at least that was the last one I’ve seen. Based on my recent meetings, that there is a lot of excitement about the intra-Asia trade which is probably the world’s largest trade route that will be growing probably 10% or more and then the deep sea trades, Asia and Europe and Trans-Pacific, where the feedback I was getting was 6 to 8% which maybe a little bit conservative compared to Fortune and some of the other consultants that are forecasting higher than that. Nevertheless, that we can expect a pretty healthy growth in all trade routes that are led by the intra-Asia trades next year.
Brian Hogan - Piper Jaffray: One last one, I forgot to mention, your CapEx outlook being pretty strong, similar to that was for 2010 for next year, and your leverage very low, do you have a target leverage ratio? What would you like it to be? How do you manage that?
Philip Brewer: Our board has set up our limits on our leverage, which is significantly above where our leverage is currently. Generally we feel our leverage could be higher than the current level. That will likely happen as we pursue the level of CapEx that we’re looking at and of course if any other opportunities were to rise outside of buying, simply just new containers would explore those as well. There’s many things that could cause our leverage to go up, and we have the allowance or the approval of the board to allow that to happen.
Operator: Our next question comes from the line of Sal Vitale of Sterne, Agee.
Sal Vitale - Sterne, Agee : If I could just start with some questions on the quarter. First question is on the interest expense. If I look at including the realized losses, and the reported debt, I calculated an average interest expense rate of about it was something like close to 5%, is that a good rate to use going forward?
Philip Brewer: Yes, well, you’re probably taking a simple average. I’m not sure how much this debt changed on a daily basis throughout the period, but that’s probably in the ballpark.
Sal Vitale - Sterne, Agee: Then we talked about the tax rate, I understand that. You said going forward we should use something in that 5, 6% rate for 4Q and beyond?
Philip Brewer: Yes, I don’t expect anything significantly different than from what we’ve reported historically.
Sal Vitale - Sterne, Agee: I apologize if you’ve talked about this already. I actually had trouble accessing the presentation online. Again, sorry if some of the information I’m asking for is already in the presentation, but what is the end of period owned and managed TEUs, if you don’t mind?
Philip Brewer: That was in the presentation.
John Maccarone: You’ve had it in the script that the owned -
Philip Brewer: Yes, the owned is 1.088 million and that represents about 48% of the total.
Sal Vitale - Sterne, Agee: Okay, so that was 1.80 million, that’s 40% of the total?
Philip Brewer: 1.088 million
Sal Vitale - Sterne, Agee: 1.088 million, that’s 40% of the total, that’s fine.
Philip Brewer: 48% of the total.
Sal Vitale - Sterne, Agee : If I look at the quarter, just a question on the pricing. Pricing on the lease renewals you did and pricing on the new containers that you placed on to lease, how do I think about what your per diem rate was, whether you want to talk about it year-over-year or sequentially?
John Maccarone: The containers that were added this year as a combination of higher container prices and higher spreads. If you just look at the five-year rate on a container we put in service in July or August, it’s significantly higher than the fleet average. The renewals, we had a very low roll-over year, this year, that was one of those anomalies that was a very small percentage of the fleet. The opportunities to really do much in terms of the existing fleet, in terms of increasing were rather limited, because of the small percentage of expirations this particular year.
Sal Vitale - Sterne, Agee : John, would you say that low percentage is something in the mid-single digits or something like that?
John Maccarone: Say again.
Sal Vitale - Sterne, Agee : Would you say that low percentage that you mentioned, is that low-single digit or something in that ballpark?
John Maccarone: Yes, it is. It’s a very low number.
Sal Vitale - Sterne, Agee : This question is for Phil. You mentioned that used container prices are easing up a bit. How should we think about that gain on sale of containers line for fourth quarter, just thinking about the dynamic of whether the number of units that you’re going to sell is going to offset the slightly lower prices; should we think about that coming down a little bit more from 4.2 million or reversing a bit?
Philip Brewer: I think that the price decline that we’ve seen so far is not that significant. We’re expecting to sell more containers in the fourth quarter than we did in the fourth quarter a while. It’s hard for me to make a projection. I wouldn’t expect to see a dramatic change in that number.
Sal Vitale - Sterne, Agee : Just on the equipment trading margin, do you expect for the next few quarters for that margin to get back to that $700,000 or $800,000 per quarter that you experienced in the first half of the year?
Philip Brewer: Our inventory of trading containers is almost gone.
Philip Brewer: We haven’t been able to enter into any significant trading transactions for many months. At the moment, there aren’t any that are actively being pursued in the market. That number could come down simply because we are having a difficult time finding trading containers to purchase.
Sal Vitale - Sterne, Agee : if I could just ask on that $507 million of CapEx through early December, that’s pretty much a good number to use for 2010, correct, or maybe a slight increase to that, for the full year?
John Maccarone: Yes, that’s a good number, Sal for the year.
Sal Vitale - Sterne, Agee : That’s a good number. Okay. Then earlier, Phil, you mentioned that per diem rates on new containers pretty much peaked in September. Can you give just a rough ballpark of how much that’s down since September, is it down maybe 5, 10%. You said it was 2,700 and that’s on 20-foot boxes of course?
John Maccarone: The prices of new containers peaked in September, right it was around 2,700.
Sal Vitale - Sterne, Agee : Right. I’m sorry, per diem, my apologies.
John Maccarone: Yes, and today they are probably a little over 5% less than the 2,700.
Sal Vitale - Sterne, Agee : Per diem rates are pretty much also 5% or a little lower?
Ernest Furtado: I would think they have gone a little more than that, probably close to the 10% mark that you’ve mentioned.
Sal Vitale - Sterne, Agee : Closer to 10%. Okay. Then just thinking about the 213,000 TEUs, if I look at the first quarter, or it might be second quarter, which quarter will have a full quarter impact of that 213,000 TEUs in terms of already being committed to lease and generating revenue?
John Maccarone: Yes, we were pretty much back-end loaded this year, Sal. A couple of reasons for that. One, we were involved in some M&A activity that we had to kind of keep our powder dry for the first few months of the year. We’re also in the process of renewing our ADS facility. First half of the year, we only purchased about 70,000 TEU and really the second half of the year we ended up with over 210, then just subtracting, we have got 140 plus thousand TEU pretty much evenly spread over the third and fourth quarters. I think that what you’re going to see the impact of that large number of containers generating revenue over the fourth quarter, and into the first quarter of next year.
Operator: I’m showing no further questions in the queue. I would like to turn it over to our speakers for any closing remarks.
John Maccarone: All right. Well, we want to thank all of you for joining the call today and we look forward to talking to you again at the end of the next quarter. Thank you.